Operator: Good afternoon. My name is Emily, and I will be your conference operator today. At this time, I would like to welcome everyone to the Vista Gold Corp.'s Third Quarter 2019 Financial Results and Corporate Update Conference Call. [Operator Instructions] 
 Pamela Solly, please go ahead. 
Pamela Solly: Thank you, Emily. Good afternoon, ladies and gentlemen. Thank you for joining the Vista Gold Corp.'s Third Quarter 2019 Financial Results and Corporate Update Conference Call. I'm Pamela Solly, Vice President of Investor Relations. On the call today is Fred Ernest, President and CEO; and Doug Tobler, Chief Financial Officer.
 During the course of this call, we will be making forward-looking statements. These statements involve known and unknown risks, uncertainties and other factors that may cause actual results, performance or achievements of Vista to be materially different from results, performance or achievements expressed or implied by such statements.
 Please refer to our most recently filed Form 10-Q for more information about proven and probable reserves, results of the 2019 pre-feasibility study, risks and other important factors that could cause actual results to differ materially from those in our forward-looking statements.
 I will now turn the call over to Fred Ernest. 
Frederick H. Earnest: Thank you, Pam, and thank you, everyone, for joining us on the call today. I'm pleased to report that during the third quarter, we achieved several significant milestones as we continue to derisk and advance Mt Todd gold project. Following 18 months of extensive test work, we completed our metallurgical optimization program and announced positive results, including increased life-of-mine gold recoveries. 
 We commenced an independent review of the fine-grinding circuit and completed an independent benchmarking study on project cost and schedules. The comprehensive results of the metallurgical optimization program and independent studies, along with current economic parameters, were incorporated into an updated preliminary feasibility study hereafter referred to as the 2019 PFS.
 We continue to work closely with the Northern Territory Department of Mines during its review of our mine management plan. As announced earlier this week, we received the third option payment for the Guadalupe de los Reyes project, now known as de los Reyes silver and gold project in Mexico.
 I'll discuss these topics in greater detail later in the call, but I will now turn the time over to Doug Tobler for a review of our financial results for the quarter ended September 30, 2019. 
Douglas Tobler: Thank you, Fred. I'm pleased to report that our third quarter financial results came in as planned. Our priority this quarter and year-to-date has been focused on completing the 2019 PFS. That work was largely completed September 30 and was delivered substantially on budget. 
 We also tracked slightly better-than-expected for other operating expenses. As we move into Q4, we expect to maintain a well-controlled operating expense trend and have now seen a positive inflow of $1.7 million from the los Reyes option holder. That happened earlier this week.
 Turning to our balance sheet. We ended the third quarter with working capital of $7.2 million, which included $4.5 million of cash and short-term investments. Year-to-date, our working capital declined $6 million. $5.7 million was used to fund the metallurgical testing, the 2019 PFS and our general corporate expenditures. Another $2 million decrease in working capital resulted from a decline in fair value of the Midas Gold shares. And these decreases were offset by an increase in working capital of $1.7 million, resulting from the second payment under the option agreement for the los Reyes project that happened back in May. As a closing comment on the balance sheet, Vista has no debt.
 I'll now turn to the income statement for a few brief comments. We reported a net loss for the quarter ended September 30 of $2.5 million. This compares to last year's third quarter loss of $2.1 million. Operating expenses increased this year by about $340,000 compared to last year. This reflects increased expenditures from Mt Todd technical studies and the 2019 PFS, partially offset by a modest decrease in our corporate administration expenses. 
 For the 9-month period ended September 30, 2019, our net loss was $8.2 million compared to a loss of $4.9 million for the same period last year. This variance resulted from a $3.7 million swing in the fair value of the Midas Gold shares.
 To recap our financial results, working capital remains strong at $7.2 million, and we have no debt. The decline in working capital since last year was expected and reflects Vista's cost-effective use of funds to advance and derisk Mt Todd, and other expenditures remained well-controlled, and we continue to realize cash inflows from non-dilutive sources of working capital. Most notably, this now includes $3.2 million this year under the los Reyes option agreement. 
 We believe our working capital will be sufficient to fund our currently planned corporate expenses, project holding costs and discretionary programs for more than 12 months and to supplement existing working capital, management plans to increase its focus on monetizing its non-dilutive sources of working capital as existing working capital decreases.
 With that, I'll conclude my remarks. Thank you for joining today, and I'll turn the call back over to Fred. 
Frederick H. Earnest: Thank you, Doug. I'll first start with a discussion of the metallurgical optimization program. During the quarter, we completed a metallurgical optimization program for the Mt Todd project. The objective of this program was to assess overall gold recoveries at finer-grind sizes and evaluate the efficiency of the FLSmidth VXP mills as opposed to the Glencore ISA mills, which were contemplated in the 2018 PFS. As a result of this test work and related leached recovery tests, a final grind size of 80% passing 40 microns was selected.
 In August 2019, we announced the results of the fine-grinding test completed on samples over a wide range of sample head grades. These tests confirm that the Mt Todd ore can be efficiently ground to a finer final product size than estimated in the 2018 PFS. Leaching the 40-micron size material resulted in a higher life-of-mine gold recoveries of 91.9% compared to 86.4% that was used in the 2018 PFS, those previous results were at 60 microns, and an increase in total gold produced over the life of the mine of 349,000 ounces. It also demonstrated that at a 40-micron grind size, the tail grade is nearly constant within specific grade ranges.
 These latest metallurgical test programs have confirmed: first, the efficiency of ore sorting across a broad range of head grades and the natural concentration of gold in the screen undersize prior to sorting; second, the efficiency of fine grinding and improved gold recoveries at the selected size of 80% passing, 40 microns; and last, the selection of the FLSmidth VXP mill as the preferred fine-grinding mill.
 As I indicated previously, in the third quarter, we also commissioned an independent review of the fine-grinding circuit and completed an independent benchmarking study to assess the appropriateness of capital and operating cost estimates, construction and ramp-up schedules, owner's costs and key components of the project such as power supply. The comprehensive results of these studies were incorporated into an -- into the updated preliminary feasibility study.
 Let me talk about the results of that study. In September, we announced the results of the 2019 PFS for the Mt Todd project. And in October, we filed -- earlier this month, we filed an updated 43-101 Technical Report. The 2019 PFS was based on the results of the metallurgical optimization program, a comprehensive review of the project and the redesign of elements of the process flow sheet, most importantly, the grinding circuit. 
 The 2019 PFS provides an assessment of the Mt Todd gold project at a gold price of $1,350 an ounce, with a foreign exchange rate of USD 0.70 per Australia dollar. The results reflect improved average life-of-mine gold recoveries of 91.9% and indicate a net present value at a 5% discount rate of USD 823 million, with an internal rate of return of 23.4%. At the current gold price and foreign exchange rate, the net present value at a 5% discount rate is approximately USD 1.15 billion with an internal rate of return of 30.2%.
 Now turning to permitting. As indicated, we submitted the Mt Todd mine management plan, which is the equivalent of a mine operating permit here in North America to the Northern Territory Department of Mines in November of 2018, and the review is ongoing. We expect to receive authorization of the mine management plan later this year or early next year. Once approved, Vista will hold all the major permits for the Mt Todd project.
 Now turning to the los Reyes project. Earlier this week, we received a third USD 1.5 million option payment for the los Reyes gold and silver project. As a reminder, in October of 2017, we entered into an option agreement, giving Minera Alamos an exclusive option to earn a 100% interest in the project. Prime Mining has since assumed the option agreement from Minera Alamos and has paid the third installment. To date, Minera Alamos and Prime Mining have paid $4.7 million in option payments. The final payment of USD 1.5 million is expected to be received by Vista on or before October 23, 2021.
 So next steps. Our message going forward is very clear. We do not believe that the debt and dilution to build Mt Todd on a stand-alone basis is in the best interest of our shareholders. We intend to continue to derisk Mt Todd in a cost-effective manner while seeking to secure a development partner. The 2019 PFS provides a solid basis for engagement with prospective development partners that recognize the value of Mt Todd, allowing Vista to provide appropriate reward for its shareholders. 
 We will continue to focus on achieving evaluation for Mt Todd that is warranted for a multimillion ounce gold project in Australia's low-risk Northern Territory. With favorable costs, robust project economics and environmental permits in hand, we believe that these factors, coupled with the technical advance -- the technically advanced stage of the project and excellent infrastructure, place Mt Todd on a short list of the most attractive development-stage gold projects. It's our expectation that we can build on this to justify a greater appreciation from our industry peers and the investment community.
 Looking at our share price performance. Year-to-date, Vista's share price is up 47%. As we've mentioned in previous calls, Vista is highly leveraged to the price of gold, and we understand the value of higher gold prices as it relates to project economics. 
 Since November 13, when gold broke out of its horizontal trend, that would be November 13, 2018, through October 11 of this year, the gold price improved by approximately 23%, while Vista's share price improved by 77%. This is 3.3x the improvement in the price of gold on a percentage basis. This compares to the value of the GDXJ improving 1.8x the improvement in the price of gold. We believe that the ongoing optimization work will further enhance the leverage that Vista shareholders enjoy relative to the price of gold.
 In conclusion, our Mt Todd gold project is the largest single deposit -- undeveloped gold project in Australia. With 5.85 million ounces of gold in proven and probable reserves, Vista controls the third largest reserve package in Australia. It is ideally located in the Northern Territory of Australia, with paved roads to the site and other existing infrastructure such as power lines, a natural gas pipeline, the freshwater storage reservoir and tailings incumbent facility. The project improvements we have discussed today, along with our estimated reserve and production profiles have created the foundation for the leverage to gold price and improved shareholder value that we have seen over the last 6 months.
 We believe Vista's leverage to the gold price demonstrates that Mt Todd would be an extremely attractive gold project even in a lower gold price environment. We have earned the trust of the local stakeholders, and we believe that our social license is firmly in hand. We've worked hard to secure the authorization of the major environmental permits and are now focused on gaining the authorization of the mine management plan.
 We are extremely pleased with the results of the 2019 PFS, which demonstrated a net present value at a 5% discount rate of $823 million, with an internal rate of return of 23.4% at a $13.50 gold price and a USD 0.70 per Australian dollar foreign exchange rate.
 I would remind you that at the current gold price and foreign exchange rate, the project economics are even more compelling with an NPV5 of approximately USD 1.15 billion and an internal rate of return of 30.2%. We believe that Mt Todd is a superior asset located in the Tier 1 mining jurisdiction and one of the most attractive development-stage gold projects not just in Australia but in the world. 
 For a more comprehensive assessment of the value according to Vista in the Mt Todd project, I refer you to our corporate presentation, which can be found on our website at www.vistagold.com. We believe that Vista Gold represents an exceptional investment opportunity for the gold investor looking for value, growth potential, low geopolitical exposure and leverage to the gold price.
 That concludes our prepared remarks. We will now respond to any questions from the participants on this call. 
Operator: [Operator Instructions] Our first question comes from the line of Heiko Ihle from H.C. Wainwright. 
Heiko Ihle: Can you hear me all right? 
Frederick H. Earnest: Yes, we can. 
Heiko Ihle: Good. Can you just provide a little bit of color on the sale of your used mill equipment? I mean I note that you still have it in the Q as of being available-for-sale. I mean in stock, I then put in controlled assets and I searched for used mill and it pops up in the Q exactly 7 times. What's the interest level? Any progress? What's the price trajectory for that kind of equipment? And maybe if you would want to venture a guess at the replacement value as well, please. 
Frederick H. Earnest: Heiko, that's a great question. The -- we continue to work with A.M. King to market and sell the used mill equipment. This is equipment that nominally -- has a nominal capacity of 10,000 tonnes per day, consists of a gyratory crusher, a SAG mill, 2 ball mills, and it also includes the gold room equipment and other equipment such as the -- a secondary crusher, a pebble crusher, and a number of pumps and drives. 
 The asking price on this as a package deal is $10.9 million. We have had credible expressions of interest in the last quarter and the preceding quarter. And in fact, we've had more interest this year than we've had in any similar period in previous years. The -- this equipment is on our books at a value of $5.5 million presently.
 And with regards to the prospects to sell it, we don't control the interest or the decision-making process by those who come to look, but the fact that people are looking for equipment of this size is very encouraging to us. 
 The replacement value of new equipment, if one were to go out and purchase this same equipment and purchase all the new, would likely be in the range of $15 million to $18 million. And given the fact that this is fairly low-life, low-hours equipment, I think that it represents a real opportunity for someone looking to build a project in the nominal size range. And certainly, we're businesspeople. I mean we're willing to discuss options with regards to a potential offer for the purchase of this equipment. 
Heiko Ihle: Fair enough. Moving to something completely different. I mean can you just sort of walk us through some of the upside from the PFS given the current spot pricing when compared to pricing in the PFS? I mean you're looking at $645 in cash costs. You're looking at all the sustaining costs of less than $750. We were at $1,503 when I think last looked at the price a couple of minutes ago. You did put some $1,500 gold numbers in the report, which yielded a $1.15 billion NPV5. I mean can you just maybe expand a little bit on the value proposition as you see it given the gold price trajectory thus far this year and what other folks are asking in that regard, please? 
Frederick H. Earnest: Yes. Thanks for that question, Heiko. The Mt Todd project is one, it's a very large project with a production capacity of 495,000 ounces a year average over the first 5 years. With that size, we're able to achieve certain economies of scale. Our cost structure at the project is benefited compared to our Australian peers by the fact that we are not a fly-in, fly-out operation. Rather, this project is designed as a community-based project. With the natural gas pipeline that we have to site, we have incorporated in our capital costs a power plant, which will allow us to generate power considerably cheaper than we could buy it from the grid. 
 All of these things give us some certain and distinct cost advantages compared to our Australian peers. When we compare and part of the benchmarking work that was done when we looked at our project compared to some of the operations in Northern Canada, which many people are familiar with, there are other cost advantages both on the capital side in that we don't have to have buildings around everything. We're not heating solutions. We're not dealing with freezing temperatures for a significant portion of the year.
 Looking at the metal price trends, and we've been stable here around $1,500 an ounce for a couple of months now, and there's some anticipation that there will be a modest pullback in the price of gold before we take the next step up. But as you've alluded to, we have discussed the project economics at a $1,500 gold price. And current foreign exchange rates, if we just project that out just a little bit farther, at a $0.70 foreign exchange rate, the -- at $1,600, the NPV of the project is over $1.3 billion, and the IRR is about 33.5%. And with those -- that kind of information, one can easily put a couple of points on a graph and draw a line through it. And if people are interested, there's a more comprehensive sensitivity analysis table that's found in our corporate presentation in the additional materials at the back. 
 But this project enjoys significant leverage to the price of gold and perhaps more so than some of our peers. That's always been the case with the Mt Todd project, and I think that's one of the reasons that our share price responds the way it does. 
Heiko Ihle: Yes. And pitching our research for a second here, I mean, obviously, we have a sensitivity analysis on the company as well, and we agree with essentially everything you just said. 
Frederick H. Earnest: Heiko, it's always good to hear from you. Thanks for the call. 
Operator: Our next question comes from the line of Adrian Day from Adrian Day Asset Management. 
Adrian Day: I've actually got 2 questions or maybe 3 if we get through them quickly enough. First one is on the balance sheet and the spending. And just to clarify, first of all, the $1.7 million payment you just received, am I right in saying that's not included in the working capital and cash numbers you gave us or it is included? 
Douglas Tobler: That's correct. It's not. It will flow through in Q4. What's in the numbers that I gave you is the $1.7 million that we got back in May, which was $1.5 million payment, plus a couple of hundred thousand dollars of financing fees that we carried down. 
Adrian Day: Okay, so... 
Frederick H. Earnest: And then just a correction -- Adrian, just a correction, the payment that we received this week was $1.5 million. 
Douglas Tobler: Sorry, yes, $1.5 million. 
Adrian Day: I'm sorry. I'm sorry. Yes. $1.5 million, let me write that down, yes, $1.5 million. So you're somewhere around $5.5 million in cash at the moment. 
Douglas Tobler: Right, minus our 3 [indiscernible]. 
Adrian Day: More or less, yes. So can you walk us through now you've done the PFS, what does the spend look like over the next, let's say, 12 months? 
Douglas Tobler: Yes. I mean we'll have a few things that we're looking at now that won't be in that, but generally, you can -- if you look at our corporate expenditures, which are running something in the order of about just under $4 million a year, that's pretty close to the base company spending, and then you can always expect somewhere in the order of $1 million, maybe $2 million, depending on the type of programs that are available. But the 2020 budget hasn't been fully defined. 
Adrian Day: Right. Okay, okay. 
Frederick H. Earnest: Adrian, just to add to that, I would say that we expect fixed costs to be very similar this coming year to what they were for 2019. Discretionary spending will likely be down significantly as we finish the metallurgical testing and the PFS work. And at this time, we're looking at the ongoing value-adding work is relatively low cost at this point. We're focused on getting the MMP approved. Most of that money has already been spent and we're just in the last stages of responding to questions. So we're very conscious about what our cash burn rate is. 
Adrian Day: Okay. No, I appreciate that. The second question is a little, I don't know, tricky maybe. And I don't know if you have -- or I don't know if you've had stepped up interest in people looking at the projects since the -- I'll just ramble and then you can respond -- since the PFS, whether you've had many people recently take what I'll call a deep dive into the project. 
 And then specifically what I'm looking at is the metallurgy. Obviously, it's hard rock, but obviously, pecks has also -- this is what I did the project earlier to a large extent. So how would -- the people at the companies I'm talking about not the analysts, the companies that have looked at the project, how would you characterize their view of the metallurgy after all the work you've done? Are they comfortable? Are they still concerned? Are they wanting to do their own testing? I mean how would you characterize generally what people's view is? 
Frederick H. Earnest: Now that's a great question, Adrian. We've -- since the completion of the 2018 PFS, we've signed over a dozen confidentiality agreements. As you're aware, we don't disclose who they're with. We have had a number of companies complete both desktop evaluations and make visits to site. We've had 1 company take a sizable quantity of material away from sites so that they could do their own metallurgical test work. Generally speaking, I think it would be very fair to say that the people who have been to site and spent time delving into the metallurgical work that's been completed have been very satisfied with the rigor of the test work and the results.
 In particular, the application of the technology, the selection of the high-pressure grinding rolls, that's technology that over the last 10 years has matured and become very widely accepted. People have been very interested to see the results of that test work. And as you and others on the call will be aware, that we have completed not just 1 or 2 rounds but 6 or 7 rounds of test work with that technology. In all cases, we have been maybe not surprised but interested to learn that we know more about ore sorting than the companies who are coming to look. And in fact, one of those companies that came to look, subsequent to reviewing our ore sorting test results has purchased their own ore sorting unit for test work in their corporate laboratory. 
 And so I think that the amount of test work we completed, the standard to which it's been completed has been very widely accepted and readily understood by those who have taken a deeper dive into the metallurgical work on the project. 
Adrian Day: Okay. That's good. I appreciate that. 
Frederick H. Earnest: Very good. Anything else, Adrian? 
Operator: [Operator Instructions] And there are no further questions at this time. I will turn the call back over to Fred Ernest for closing remarks. 
Frederick H. Earnest: Very good. Thank you. Thank you to all of you who've taken time to be on the call with us this afternoon. I believe that we are at a point where the technical advancement on the Mt Todd project positions it in the best place or puts it in the best place that it's been in since our acquisition of the project. 
 As indicated, we are pressing forward with the final approval process of the mine management plan. We anticipate having that authorization near the end of the year or the first part of next year. With that, we will have all of the major permits for the project.
 I want to be clear in what our focus is. We have had many inbound calls and inquiries as to whether we're going to be pursuing financing to advance the project ourselves. I want to just reiterate that we do not believe that the debt dilution to build Mt Todd on a stand-alone basis is in the best interest of our shareholders, and it's not our plan. We are actively seeking a development partner. It's hard to tell how long that process will take, but we believe that that's the best way to create value for the Vista shareholders and recognize the value of the Mt Todd project, and that is our focus.
 We continue to believe that the Northern Territory is a great place to do business. We've found the territory very easy to work with. I remind you that we have a very good relationship with the stakeholders, with the community and with the aboriginal people around the project. And we're doing all that we can to continue to maintain those relationships. 
 We continue to enjoy great leverage to the price of gold and I think that, that should be very appealing to the investor who is mindful of what the markets are doing and how quickly they can move and the potential for significant improvements in the price of gold. 
 We continue to look forward to doing all that we can to increase value on the project. We enjoy the support of our long-time shareholders. We look forward to working with those of you who are evaluating an investment in Vista Gold and invite you to reach out to us if you have any other specific questions.
 With that, I wish you all a very pleasant afternoon, and thank you for your participation in the call. 
Operator: This concludes today's conference call. You may now disconnect.